s:
Operator: Welcome ladies and gentlemen to the Bird Construction Fourth Quarter 2014 Financial Results Conference Call. We will begin with Mr. Ian Boyd’s presentation, which will be followed by a question-and-answer session. [Operator Instructions]. As a reminder all participants are in listen-only mode and the conference is being recorded. [Operator Instructions]. Before commencing with the conference call the company would like to remind those participating that certain statements which are made express management’s expectations or estimates of future performance and thereby constitute forward-looking statements. Forward-looking statements are necessarily based on a number of estimates and assumptions that, while considered reasonable by management, are inherently subject to significant business, economic, and competitive uncertainties and contingencies. In particular, management’s formal comments and responses to any questions may include forward-looking statements. Therefore the company cautions today’s participants that such forward-looking statements involve known and unknown risks, uncertainties, and other factors that may cause the actual financial results, performance, or achievements of the company to be materially different from the company’s estimated future results, performance, or achievements expressed or implied by these forward-looking statements. Forward looking statements are not guarantees of future performance. The company expressly disclaims any intention or obligation to update or revise any forward-looking statements whether as a result of new information, events, or otherwise. At this time I would like to turn the conference over to Mr. Ian Boyd, President and CEO of Bird Construction. Please go ahead.
Ian Boyd: Good morning and thank you for taking the time to participate in our fourth quarter and annual 2014 earnings conference call. With me today is Stephen Entwistle, our CFO. Before discussing our fourth quarter and annual financial results for 2014, I want to acknowledge the contribution of my predecessor, Mr. Tim Talbott for his dedicated knowledge and leadership, which has guided the company through a period of tremendous growth and success. The company concluded the year with a solid fourth quarter resulting in our reporting of net income of $12.9 million, which represents a slight improvement over our 2014 third quarter net income of $12.4 million and a substantial increase compared with $5.7 million reported in fourth quarter of 2013. Despite getting off to a slow start in the first quarter of the year the company recorded stronger earnings performance in the balance of the year, particularly in the third and fourth quarters. Deposit momentum experienced in the third quarter continued through the fourth quarter, which further contributed to the 2014 net income of $36.2 million compared with $12.1 million in 2013. As we anticipated our 2014 results represent a significant improvement compared with the results reported in 2013. The increase in 2014 earnings both in the fourth quarter and for the year is primarily due to increased gross profit resulting from an increase in the relative significance of higher margin industrial projects executed this year, compared to a year ago, combined with the adverse impact of a large project loss on one fixed price construction contract in 2013. In 2014 the company secured approximately $1.3 billion of new construction contracts, including change orders on existing contracts, which contributed to a backlog at the end of the year of approximately $1.1 billion as compared with an amount of approximately $1.3 billion at the start of 2014. The $200 million reduction in backlog in 2014 is primarily attributable to the timing of awards for larger projects and the realities of the more competitive market. At the Board Meeting yesterday, our Board of Directors declared monthly dividends for March and April 2015 of $0.0633 per common share, reflecting our ongoing confidence in the company’s long-term outlook. To summarize, we are pleased with the strong earnings performance achieved in 2014 in light of competitive market conditions and the economic uncertainty that materialized in the later part of the year. Fourth quarter 2014 compared to fourth quarter 2013. In the fourth quarter of 2014 the company recorded net income of $12.9 million on construction revenue of $390.6 million, compared with $5.7 million and $363.7 million respectively in 2013. The improvement in 2014 net income is a result of higher gross profit due to the increase in the relative significance of our industrial projects executed in the current period, combined with the adverse impact of an $8 million project loss recorded in the fourth quarter of last year. Construction revenue of $390.6 million in the fourth quarter of 2014 was $26.9 million or 7.4% higher than $363.7 million recorded in 2013. The increase in 2014 is primarily attributable to higher industrial revenues. The company has experienced a shift in the composition of revenue to the industrial market, mainly due to the execution of a number of significant contracts secured in this sector in late 2013 and early 2014. The increase in industrial market revenues was offset to some extent by a decline in construction revenue earned in our commercial sector, where the company was unable to replicate the large work program executed in this market in 2013. In the fourth quarter of 2014 the company’s gross profit of $32.8 million was more than double the gross profit recorded in 2013 of $15.4 million, a $17.3 million increase in the amount of 2014 gross profit as a result of the execution of higher margin industrial work this year, combined with the adverse impact of a project loss of $8 million on one fixed price construction project, that experienced execution issues last year. Our gross profit gross margin percentage was 8.4% this year, compared with 4.2% in the final quarter of 2013. Fourth quarter 2014 general and administrative expenses of $15.2 million were $5.8 million higher than 2013 expense of $9.4 million. Although on the surface the increase is quite substantial it’s important to note that the 2014 expense include the cost reduction benefit resulting from the reduction of contingent consideration liabilities to nil. After adjusting the amount of 2013 expense for this item, the increase in 2014 expense of approximately $0.8 million is largely due to higher 2014 compensation expense to support the company’s work program. Net financing income of $0.5 million in 2014 remained relatively comparable with the amount reported in 2013. Year-end results for 2014, compared to year-end results for 2013. In 2014, the company generated net income of $36.2 million on construction revenues of $1.345 billion, compared with $12.1 million and $1.332 billion respectively in 2013. As was expected for 2014, the increased in the amount of earnings compared to a year ago is principally due to a shift in the composition of a work program to higher margin industrial work, combined with the adverse impact of a $20.5 million loss on one fixed price construction project, which experienced execution issues and served to negatively affect 2013 results. Construction revenue in 2014 of $1.345 billion was 2.5% higher than revenues in 2013 of $1.332 billion. Although the amount of construction revenue was similar between the years, the company did experience a significant shift in the composition of revenue towards industrial activity, mainly due to the execution of a number of large industrial contract awards received in late 2013 and early 2014. The increase in industrial revenues was to a large extent offset by a reduction in construction revenue derived from our commercial market, where the company was unable to replicate the significant work program executed in the sector in 2013. In 2014, the company’s gross profit significantly increased by $40.1 million to reach $111.6 million, compared with $71.5 million recorded a year ago. A 56% increase in the amount of gross profit reflects the effect of the shift in the company’s 2014 work program to higher margin industrial activity. Fiscal 2013 comparative amounts were also adversely affected by the $20.5 million project loss included in that year’s results. In 2014, the company’s gross profit margin percentage of 8.2% compares with 5.4% last year. In 2014, general and administrative expenses of $64 million were $8.2 million higher than 2013 expense. The relative increase in the amount of 2014 expenses is namely due to the fact that 2013 expense includes the cost reduction benefit resulting from the reduction of contingent consideration liabilities to nil as previously noted, as well as an increase from the project pursuit costs and in total compensation expense needed to execute the company’s current work program. In 2014, net financing activity income of approximately $1 million compares with a net financing expense of $0.3 million in 2013. The improvement in 2014 is primarily due to an investment loss included in our 2013 results of $29 million, which did not materialize in 2014 and a reduction in 2014 interest expense resulting from lower debt levels. Outlook, I’ll now provide some brief remarks about our prospects for 2015. The company enters 2015 with a solid level of backlog and the positive momentum that contributed to a very successful 2014. Although, the embedded gross margins in our backlog are similar to those that produced our 2014 results the more recent uncertainty in the economy make it difficult for the company to replicate 2014 results in 2015. The industrial market sector, which contributed 57% of our 2014 construction revenue is expected to continue to make a significant contribution to our 2015 results. A number of larger contract awards, which drove our 2014 results will continue to be executed throughout 2015. These projects have not been suspended or cancelled and we believe that they will continue to proceed as planned throughout the year. Although, the energy sector capital expenditures have more recently been reduced because of oil price uncertainty, capital expenditures will continue to be made in the sector and the company remains optimistic that we will secure new work, but likely at lower margin as customers look to suppliers for better pricing. In Eastern Canada, the resource sector is expected to continue to be adversely affected by low commodity prices and therefore the company does not anticipate any significant turnaround in this sector in 2015. To replace resource revenue and gross profit in this area, the company continues to aggressively pursue a number of other opportunities in the industrial and hydroelectric sector that should contribute to our performance in 2015. In the institutional market sector which contributed 24% of 2014 revenue we anticipate that we will be awarded in 2015 a number of larger contracts primarily in the triple P market. These awards as well as a number of other opportunities that the company is pursuing in the near-term should positively contribute to revenues and gross profit earned in this sector although the impact in 2015 is not expected until later in the year. The company has been very active in the triple P market in the last several years and we will continue to be aggressive in pursuing these projects on a selective basis in the future, where the project profile will offer a better margin. Despite pressure on government capital spending there continues to be a need to build infrastructure and while these projects will be delivered using various contracting methods, a significant portion of them will be delivered by a way of triple P contracts, which is an attractive delivery method for the company. In the retail and commercial market sector, which contributed 19% of 2014 revenue we anticipate that the contribution from this sector will remain stable in 2015. To summarize, the economic uncertainty that manifested itself in late 2014 is expected to continue through 2015, largely driven by the decline in the energy sector. The company is confident that along with work currently under contract we will continue to secure additional projects to maintain a reasonable work program throughout 2015 in what is expected to be a more competitive market. With that I will now turn over the call to our operator, who will take your questions in turn.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question is from Yuri Lynk of Canaccord Genuity. Please go ahead.
Yuri Lynk: Hey, good morning guys.
Ian Boyd: How are you?
Yuri Lynk: Good. Just on the outlook, just want to make sure we got the message here. So you’re looking at - you’ve got some big projects in industrial that you feel are going to continue, you’ll have some P3 awards kicking in on institutional side in the back half of the year. But I guess it’s the book and burn type of work and the fact that, that institutional work is a bit lower margin that you’re going to produce roughly the equivalent amount of EBITDA in ’15. Is that how we kind of think about it, flattish revenue and margins lower?
Ian Boyd: Yeah I think your characterization is not far off of what we believe is will happen through 2015. I guess is a short answer.
Yuri Lynk: Okay. Some of the work you mentioned that you’re looking for other opportunities in industrial, if you could share any color on what those are would be helpful, but I guess broadly speaking are any of those projects kind of ones that Bird has never done before that you’d be looking to do on a fixed price basis?
Ian Boyd: No, none of them are new, sort of new work or anything that we haven’t done in the past. This is typical work that we would pursue and much of it when we talk about the new opportunities would be I guess we’re thinking of Eastern Canada primarily when we say that in the hydroelectric market, which is certainly work that we have experienced in and have a strengthen in from the H.J. O'Connell side of things. So there continue to be opportunities with the lower Churchill Muskrat Falls project and also opportunities in hydroelectric with Site C. So we continue to pursue those types of projects and we think that will be a good complement to what is not a very good mining market at the moment.
Yuri Lynk: Got it. Last one from me, just I noticed your whip [ph] was up materially both sequentially and year-over-year, any color you can provide on why that’s the case?
Ian Boyd: Yeah, Stephen do you want to I can’t answer
Stephen Entwistle: Sure, I can answer that. It’s not unusual, that situation because of the timing of billing and the recognition of revenue to have these sort of differences and both, that’s just a function of the timing and the billing and the recognition of the revenue, a lot of that whip [ph] at this particular stage has been approved and subsequently billed subsequent to year-end.
Yuri Lynk: Okay, thanks guys I’ll turn it over.
Ian Boyd: Thanks, Yuri.
Operator: The next question is from Greg McLeish of GMP Securities. Please go ahead.
Greg McLeish: Hi guys. Just wanted to drill down a little bit more on the outlook for revenue. When I take a look at your backlog that supposed to be put in place over the year, it’s up 14% from last year and you delivered a very strong year in terms of revenue. So do you think revenue could actually be higher in 2015 or is that just you won’t do as many short-term projects during the year?
Ian Boyd: It’s conceivable revenue might be higher, that’s not my inclination right at the moment despite the fact that we have relatively sort of healthy, I’ll call it backlog that’s going to be executed in 2015 Greg. I mean some of the short cycle work is coming, but I suspect that revenue will be close to flat is my inclination right now.
Greg McLeish: Okay. And the two projects that you were awarded subsequent to the quarter, are those - is that one of the ones you were talking about because one’s in the preferred proponent stage, is that one of the ones you are talking about winning or do you have others sort of lined up that or maybe you can just through a list of ones that you are looking at for the P3 markets?
Ian Boyd: Yeah, sure. I can go through the list, maybe that’s the easiest. We certainly were referring to East Rail Maintenance Facility when we talk about, we expect to get awards on that. So that’s in the process and working towards financial close. So that’s - I’ll call it the most imminent. We have submitted on Moncton Events Center and are awaiting results on that project. Calgary Club Hosting facility [ph] was recently submitted very recently, and so it’s just the start of the process in terms of evaluation of those proposals from the owner side. So we are waiting to see what happens in that project. We are also in the pursuit stages for Stanton Hospital in Yellowknife, Saskatchewan schools, and the Saint John Water Treatment Plant right now. So, that’s the line-up that we have currently under pursuit and then we would - there are additional opportunities that are out there that are in various stages of when the RFQ will come out. So will continue to sort of monitor and position ourselves to pursue the projects that we feel have the right margin profile we were looking for.
Greg McLeish: Great. And just on the industrial side, are there additional awards or tenders on Fort Hills that you might be able to pursue?
Ian Boyd: Yes, there is and I guess what we will see is increased competition and pricing pressure, but that could still help on the industrial side to replenish backlog there.
Greg McLeish: Yes, okay. And just two more quick question, on the commercial side you said the outlook is flat. Where is the - from a geography standpoint where do you do the majority of your commercial work?
Ian Boyd: We don’t typically provide sort of segmentation in terms of what we are doing. It’s pretty broad though even from a standpoint - we sprinkle it through all of our operations across the country. So with the exception of perhaps Edmonton where the Edmonton district in of itself doesn’t do a tremendous amount of - they focus on the industrial side of things, even in that market our Calgary office will service that on a commercial basis. So it’s pretty evenly sprinkled throughout the company, across the geographic regions anyway.
Greg McLeish: Well the newly announced Loblaw [ph] expansion will that have any impact or could be bidding on that with the stores or is that too small a work?
Ian Boyd: No, it’s not too small a work. It could definitely have impact on the commercial side of things. Obviously in 2013 the most significant aspect of the work that was done there was Target. So it’s very similar and I think you see now Wal-Mart has announced that they have got a significant program going on in Loblaw and so you can see that competition heating up which frankly is good for the construction side of things as they try to expand their offering in their stores, which ultimately means construction projects for the contractors.
Greg McLeish: Great. And just one final question, just on margin [ph] I know it’s probably I know your crystal ball is clouded these days, but if I were to take a look back going into 2008 and then when you sort of had - it’s similar but different market dynamics particularly on the industrial side, does that mean that what we are going to see maybe two years out from now is significantly lower margin or lower margins going into 2016 because of the increased competition that you are seeing?
Ian Boyd: Yeah, I think you cold extrapolate that sort of similar to as you have done in 2008, that’s probably a logical conclusion given the marketplace.
Greg McLeish: Great, I will get back in the queue, thanks guys.
Operator: The next question is from Frederic Bastien of Raymond James. Please go ahead.
Frederic Bastien: Good morning. Actually I want to build on Greg’s question here and if I could go back to 2009 as well. So despite the slowdown we saw in the oil sands and the pricing concessions you had to give to the project owners, in ‘09 you were actually able to lower your own cost and maintain decent margins. Now fast forward to today, is the situation similar or is the - are you self-performing more work and your ability to lower cost is now not as good as it used to be? I’d just like get some color on that please.
Ian Boyd: You mean I guess in your question is, in 2008 we had an ability to be able to go back to sub-contractors and therefore lower their pricing and subsequently lower our own price on the general contracting side of things.
Frederic Bastien: Yeah, basically you were able to squeeze your own sub-contractors and maintain fairly decent margins, actually in ‘09 we saw your margins really expand as a result of that. So just curious how the thing are - how the dynamics are shaping up right now?
Ian Boyd: I don't know that the - even in terms of what we do self-perform I don’t know that dynamic has changed significantly from 2008. We do more self-perform, perhaps on the earthworks side of things, but from a concrete and building side of things, we’re very similar to what we were in 2008 from a service and what we do as a self-perform standpoint and what we sub-contract. So I don’t think it’s any different in that sense. So the ability to be able to become more cost effective if you will what exists in 2008 should exist in large part today.
Frederic Bastien: Okay, and as a little part of your more cautious outlook for 2015, does it have to do with the fact that perhaps in ‘09 the P3 market was a lot more robust and it - I’m not suggesting it’s not a good market right now, but obviously it’s more competitive market. And you’re not able to extract the same type of margins you were able to in the P3 side. So does that weigh into your outlook right now?
Ian Boyd: Yes I would say it does, that’s a fair assessment. I think in 2009 it was a less mature market when it comes to triple P. You and I have talked about that in the past and it has become more mature, which means a little bit more - little bit tighter margins and when you do that and you add that into the equation for what we see this year, it certainly that is a factor in some of the caution that we are expressing.
Frederic Bastien: Okay thanks. That’s all I have, thank you.
Ian Boyd: Thanks, Fred.
Operator: The next question is from Chris Turner [ph] of TD Securities. Please go ahead.
Unidentified Analyst: Hi there. Just filling in for Mike Tupholme. It sounds like you guys are concerned about margin pressure in 2015, to what extent is this from existing contracts looking to renegotiate margin and terms?
Ian Boyd: No, very little from that standpoint. I think it’s more about what can you secure coming up here and what - in a more competitive environment and how does that flow through your books more immediately and when you go to execute that work.
Unidentified Analyst: Okay and then what portion of your oil sands work is maintenance versus new construction?
Ian Boyd: We sort of divide it up. We are and our reporting is more industrial and it’s institutional commercial as you can see and we - and then we don’t really divide it up in terms of what the maintenance side of it is. Certainly from the industrial standpoint we look at our returns, what we did in revenue last year. There is maintenance side of that in there and in particularly I’ll not say from Alberta, Edmonton primarily and the nation standpoint that’s where some of that work comes into play.
Unidentified Analyst: Okay. And then lastly equity investment you’ll be making, just wondering how much equity you’ll be investing and when that investment will occur in the East Rail Maintenance facility?
Ian Boyd: Oh sorry, I didn’t catch you there, $2.5 million that will be our equity investment, our portion of the equity investment in that particular project.
Unidentified Analyst: Okay, and do you know when that will occur?
Ian Boyd: That will occur at financial close which we’re expecting during the end of the first quarter, if everything goes well as scheduled.
Unidentified Analyst: Okay, that’s it from me thanks.
Ian Boyd: Okay, thank you.
Operator: This concludes the time allocated for questions on today’s call. I will now hand it back over to Mr. Boyd for closing remarks.
Ian Boyd: Thank you again to everyone for your participation in Bird Construction’s 2014 fourth quarter and annual results call. I hope we’ve been able to provide you with some insights into our 2014 results allowing you to further evaluate your interest in Bird. As always we are available if additional information is required. So please do not hesitate to get in touch with us at our office. Thank you and have a good day.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.